Björn von Sivers: All right. Let's kick this off. Welcome to VNV Global's Third Quarter 2025 Report Conference Call. On the call today, we have Per Brilioth, CEO, and Dennis Mohammad, Investment Manager, and myself, Bjorn Von Sivers, CFO of the company. I'll start with the high-level numbers of the report. And following that, we'll start with the portfolio overview that Per will run. And as a reminder, in the end, we'll open up for Q&A and easiest to do that in the Q&A function here in the Zoom. I will address those questions towards the end. Let's start with the numbers for the quarter. So as per September 30, our NAV stood at $587 million or USD 4.52 per share, which is down roughly 1.1% in dollars over the quarter. In SEK terms, NAV is about SEK 5.5 billion or SEK 42.5 per share, down 2% from the previous quarter. For the 9-month period, NAV is up in dollar terms, 2%, but down close to 13% in SEK given the large FX movements during the year. If you move to the next slide there, we have an investment portfolio that amounted to $652 million, consisting of roughly $581 million of investments and $71 million of cash and cash equivalents as per quarter end. Borrowings totaled roughly $91 million as per September 30, but we'll come back to that a little bit later. As you see here in the slide, we continue to trade at a material discount to the NAV. The share price as of yesterday was around SEK 23.60 per share, implying a 44% discount to NAV. I could highlight here that during the quarter before the blackout period, we did repurchase approximately 1 million shares before heading into the blackout period. And if we move to the next slide, just a short section on the main contributors to the fair value change. Largest company continues to be BlaBlaCar, valued at $184 million, our position, model-based valuation down 8% over the quarter or roughly $15 million. Voi also model-based valuation is valued at $137 million, up 7% or $9 million during the quarter. Numan is valued at $37 million based on transactions, so flat. HousingAnywhere valued at $36 million, model-based valuation down roughly 11% over the quarter or $4.3 million. Breadfast on transaction based $30 million, so flat. And finally, of the 6 top companies, Bokadirekt valued at $27.8 million based on the model, which is up roughly 18% over the quarter. All in all, these 6 names represent close to SEK 33 per share in aggregate or approximately sort of 77% of the NAV. And if we move to the next slide, finally, before jump -- handing over to Per, I thought given the plenty of developments in early Q4, we sort of highlight that the cash and debt movements post quarter ending. So again, we ended up Q3 with $71 million in cash. Post quarter ending, we received $9 million from the Tise exit and is expecting the remaining sort of $26 million related to the Gett transaction shortly. On October 3, we also completed a partial bond redemption of roughly $46 million. So resulting in sort of adjusted or pro forma cash position of $61 million that will take us to a positive net cash balance of approximately $16 million. With that, I thought I'd hand over to Per to go through the main developments and the portfolio companies during the quarter. Go ahead, Per.
Per Brilioth: Thanks, Bjorn. And yes, picking up on that. So what you see on the left-hand side here is the actual portfolio as of the actual end of the quarter, and the one on the right is -- which looks pretty much exactly the same, but that has all these adjustments that Bjorn just went through, including paying down half the bond. So $16 million of net cash now feels great. We've sort of finally gotten out of this sort of debt overhang that we've had, and we move into a new investment phase, which we're all very excited about. Now I will touch upon these sort of main constituents on the portfolio in this call. So BlaBla, Voi, Numan, I think also Breadfast, what we -- there's not much to say about Housing, but I'd use this sort of landing page to just say that Housing down 11% is not -- is driven a lot by Airbnb. As you know, HousingAnywhere is like an Airbnb type of business in Europe. But in contrast to Airbnb, which is sort of weekends and 1-week holidays kind of thing, this is more medium-term rentals in Europe. And so Airbnb is just a very good peer. And so -- but hasn't -- for whatever reason, hasn't done so well of late in the stock market. So it's been -- it's had some impact on the parts of our portfolio, BlaBlaCar, too, but Housing, especially. Housing in general is doing fine. New management, I think we've talked about that before, which we're very excited about, and they're getting ready to sort of produce some serious growth there, which will be very exciting. But if we go on, the portfolio is, as Bjorn talked to you about, carries an NAV, which has our shares trading at like a 44% discount. We move into new investment phase, and there's just nothing better that we can invest into than the portfolio that we know so well and that we're so bullish about, even from the NAV level, you can buy that at sort of 45%, 44% -- 40% to 50% discount, that's -- it's very hard to find anything that matches that. So when we did get this cash taking us to net cash, we did restart this buyback program that we have been such large participants in over the past decade or so. And that feels really good. So 1 million shares -- around 1 million shares bought back before we went into the blackout and that continues now that we're out of the blackout. We are -- it's difficult to pinpoint down why this discount is there. We -- in some ways, we think it's great because it's a good opportunity for us to sort of invest our shareholders' cash in. But one thing maybe was the debt. The debt is now behind us with net cash, I mean, we paid down half the bond and the other half remains, but we have cash to pay that down. So we're in net cash. So maybe the news of that just takes a little while to work itself into the market. But we also -- this kind of discount sort of in our minds sort of may be reflective of a situation which is stressed for something, maybe stressed for cash. Maybe there's a portfolio that's in needs of cash. That's not our portfolio. This portfolio is roughly 80% of it is EBITDA positive. We carry Voi in this figure here with an EBIT positive. We talked about that before. You need to talk about EBIT at Voi. The rest of the portfolio, they don't depreciate and carry these sort of fixed assets that Voi does. So you can talk about EBITDA. But yes, and this is down somewhat when we're taking Gett out of the portfolio, but it's roughly the same. It's just a few percentage points behind -- below 80. So this is not a portfolio that is in sort of dire needs of large cash investments just to maintain our sort of ownership in these companies. On the contrary, it's a portfolio that sort of has over these past years and continues to sort of be profitable and beyond that, also a very growing profitability. We showed this at the CMD, and we like just to remind people that the growth in the portfolio and this is that the revenue level is accelerating between '24 and '25, you're looking at 40% plus growth. This shows you our pro rata of the top 6 companies. And so -- and in fact, and we don't have that here, but if you -- if we allow ourselves to with sort of -- very sort of [ sustained ] projections, look 2 years out, the earnings growth profile of these companies has grown to a level where if you compare our pro rata of these 6 companies EBITDA, EBIT for Voi and you compare that to the market value of VNV, you're looking at -- we're trading at an earnings multiple of 10 for these 6 companies. And then you get the rest, the remaining sort of 50 companies or so for free. And these companies are not worth 0. These are -- they may be smaller stakes compared to BlaBla, Voi, Numan, et cetera. But Flo, as you know, raised money at $1 billion from General Atlantic. Oura just made a big round. Ovoko is Europe's leading car -- marketplace of spare cars -- for car -- for spare parts for cars, et cetera, et cetera, et cetera. Tise, we just sold to eBay. So this portfolio, which you get for free, if you think with a multiple of 10 is really not -- is a portfolio that's very much alive and doing quite well. And also back to the sort of -- yes, it's difficult to value unlisted assets when there are no perfect peers in the listed market. But also within this sort of the rest of the portfolio kind of notion that we're talking about now, we have had also markups over this last period where -- I mean, there's been transactions in these 3 names, for example, which have been at a material sort of higher mark than where we were carrying them at. Tise was for cash, an exit to eBay. YUV, the company that's disrupting hair colored industry, as we know, big EUR 100 billion sort of industry. YUV is disrupting that. They raised money at a material uptick from where we had it. And Oura, of course, we have a very small stake in this wearable -- huge wearable company, but they did raise money, and they raised it at a large sort of premium to where we're carrying at. So it's good that we're -- we think there's upside in our NAV. Just a few points on BlaBlaCar. We sort of -- a reminder, I think everyone knows what this is. But one way to look at this is that it's a marketplace for long-distance travel. So there's a supply of cars, but also buses and in some smaller way, but also trains, all suppliers of long distance sort of means of travel. And they meet a very, very fragmented demand base that is looking to sort of travel long term. I think those of you who have sort of followed us for a while, I think you'll recognize this picture, which I think is especially good. This is if you come to the BlaBla office, this is sort of in the entrance. And every little dot here shows you sort of basically a BlaBlaCar trip happening. And so you can see sort of that across Europe, of course, with a heavy sort of emphasis on France, there's just a lot of activity going on. But importantly, also in emerging markets, and we sort of highlighted India here, you can see sort of patches of large activity, especially in the North, Mexico, but also Brazil, a lot -- especially along the coastline. We don't show Turkey on this map, but there's just 150 million passengers in 2025. I mean we haven't closed this year, but we're looking at that kind of figure, which then is sort of the calc of -- that this is every second 5 empty seats are filled. It's a fascinating thought. And yes, we -- the other thing that's important to sort of remember in BlaBlaCar is the sort of premium service that they sell. In some routes, there is increasing competition from city center to city center. This you can -- at some parts of the year, you can find cheap tickets to go by train, for example, from Paris to Madrid. Now those train tickets are probably below cost. So I don't know how sustainable they are. But importantly, sort of I think it's worth sort of -- for us to sort of double-click on the fact that BlaBlaCar is not city center to city center. It's of this -- as you see on this picture, it's from Quevilly, which is like this little town outside Rouen, and it's a trip from that little town outside Rouen to Orvault, which is a little town outside Nantes. And if either you take a BlaBla, a carpool product, takes 3.5 hours, cost you EUR 25. Your alternative is this 4 stopover sort of journey. You have to take the bus into Rouen, the bus into Paris, metro inside of Paris to go to -- from Saint-Lazare to Montparnasse, train down to Nantes and then another bus to Orvault, takes 6 hours, cost 4x more. So this is why -- and I've been using the service of late just to get reengaged with it. And this is what the customers of this company love so much. It's cheaper and it's just so more convenient. Just summing up, there's not that much going on around BlaBlaCar in the quarter. We marked it down a little bit. Multiples were down -- I mean, peer group multiples were down. Airbnb is, of course, a big sort of a very logical contributor to how we mark this. And we -- and as I was talking about earlier today, it's also where -- and we'll come back to Voi, Voi is sort of growing, and it's growing in sort of money, revenues and earnings. At BlaBlaCar, there's an enormous amount of growth happening, but it's not growth that sort of transforms itself into money and revenues and earnings over these next 12 months. We look out on the next 12 months. But Brazil and India, which we show here just contribute a lot to this enormous growth of passengers. Passengers grow when there's enough liquidity on the marketplace, this enormous GMV that you have in just these 2 markets will allow the marketplace to start to monetize. And then this not only grows in revenues, but it grows in revenues that falls directly down to the bottom line. So this being marked down does not mean that we're less enthusiastic about the prospects of this company. And as we go forward and as these unmonetized markets, which carry a GMV to the order of $0.25 billion, as that starts to be monetized, we'll see a market -- that -- the growth will transform itself into something that you can pick up in a financial model over the next 12 months, which doesn't capture all the stuff that's going on at the company today. With that, I thought if Dennis, if you could take us through a few words on what's going on at Voi.
Dennis Mohammad: Yes. Thank you, Per. Voi has had a very strong performance this year with, as Per alluded to, revenue growth accelerating while margins have expanded significantly, which I'll get to in a minute. Looking at the VNV valuation in Q3, our EV/EBITDA model is up on Voi this quarter. While the peer group multiple is actually down, as a reminder, the pre-discount multiple, which you find in the report sits at 14.4x next 12 months EBITDA. And then we always take a 10% to 30% discount. So the multiple in use is not higher than 13x next 12 months EBITDA for Voi. But the company's strong performance has increased the outlook, and our model is therefore up around 7% in Q3 for Voi. This improved outlook is, I should say, further confirmed by the EUR 40 million bond tap, which the company completed a few weeks ago, which is funding 2026 vehicle CapEx. The bonds were placed above par at a price of 104.75% of the nominal amount, which corresponds to roughly 500 basis points until maturity, given that the original framework carries a floating interest rate of 3 months Euribor plus 675 basis points per year. And then the EUR 40 million will be used to buy new e-bikes and e-scooters for 2026. In Q3, the company continued to win tenders in cities such as Edinburgh, Essex and Glasgow and a couple more. But perhaps most importantly, and as Per alluded to in the Management Director intro to the report, we have now launched the e-bike offering in Paris. Paris is a tender we won earlier this year. But as of October 1, Voi is now operational with the e-bikes in Paris. And just within 2 weeks, Paris is already a top 10 city for Voi, and we expect to become the company's largest city with double-digit euro -- millions of euros in revenue contribution. We're very happy not only about the win, but also about the very strong start in Paris. Last on this slide, as you can see on the right-hand side of the slide, Voi actually yesterday announced that they have reached 400 million rides since inception. It took the company roughly 8 months to get to the first 1 million rides. I was working at Voi at the time, so I witnessed it firsthand. It then took around 3.5 years to reach the first 100 million rides, and Voi has now completed the last 100 million rides in less than a year. So yes, really compounding at its finest, as you can see on the rightmost graph here. If we switch to the next slide, what is very encouraging is that this growth in usage is also reflected in the P&L. As seen in the leftmost graph, revenue growth has accelerated significantly in the last 12 months ending Q3 of 2025. Voi has delivered around EUR 163.5 million of net revenue, driven by an increase in the fleet size, which you can see on the line graph to that graph, but also an increased revenue generation per vehicle. So we're actually generating more, if you will, like same-store sales despite increasing the fleet quite significantly. The company has grown this top line while expanding the vehicle profit margin. This is the second graph that you're seeing on this slide, and this is the margin after charging, logistics and repair costs, essentially the gross margin of the business, which now sits at 59%, an improvement that's driven by both improved vehicles, but also just continuing to hone operational excellence at Voi and heavy usage of data and everything from predictive maintenance to fleet allocation decisions to make sure the fleet is where the users are at all times. We're also seeing a significant increase in the adjusted EBITDA growing to EUR 28.3 million, which is approximately 17.3% margin in the last 12 months, primarily driven by the fact that central overheads have essentially remained flat. I think they're even down a bit despite this growth on top line, really showing the operational leverage in Voi. Looking at EBIT -- adjusted EBIT, the company has delivered around EUR 5 million of adjusted EBIT at a roughly 3% margin in the last 12 months, and we're seeing this margin expanding significantly year-over-year as well. This was negative in the previous LTM period. The last thing to highlight on Voi, which is not shown on this slide, is that cash flow from operations grew roughly 67% in Q3 alone this year, reaching an all-time high of EUR 19.8 million of positive cash flows. One should remember, this is a seasonal business with Q3 being the seasonally strongest quarter, but it is very encouraging to see Voi delivering almost EUR 20 million of cash flows in a single quarter and a real sign of strength for Voi. That was all I had on Voi, but I think I'll continue with a couple of words on Numan. As a reminder, Numan is a U.K.-based online health clinic offering personalized care on one digital platform to do everything from clinical guidance, medication, diagnostics and supplements. And I would say the biggest therapeutical area today is weight loss, primarily through GLP-1 medications and has been for the past 2, 3 years. Operational momentum remains very strong at Numan. The company grew around 130% last year with positive EBITDA and is on track to deliver similar growth in 2025, also with positive EBITDA. So looking over the last 2 years, we're looking at more than 5x growth on top line for this business. As already covered last quarter, they secured around $60 million of financing in Q2, consisting of both an equity round led by Big Pi Ventures and a growth debt facility from HSBC Bank. With the new funds raised, the company is now looking at investing into their platform and diversifying revenues and expanding their footprint. And in Q3, VNV values its stake in Numan on the back of this transaction. As a heads up, since the transaction is denominated in Great British pounds, our USD mark of Numan is down around 2% this quarter, but this is driven solely by FX on a GDP basis, the valuation is unchanged since it is on the transaction. Last, during the quarter, just worth highlighting, Eli Lilly increased their prices on their GLP-1 products. And while this at least initially created some volatility in the market, the impact on Numan has been quite limited, and we're happy to see that the company is trading in line with their ambitious budget year-to-date. That's it for me.
Per Brilioth: And then finally, a few words on Breadfast from Bjorn.
Björn von Sivers: Yes. So Breadfast, just a reminder, is our investment in the leading brand for online groceries and household essentials in Egypt. The company is continuing to grow really, really well, accelerating growth as of sort of August here, 2025, at the annualized gross transaction value, sort of gross revenue of $119 million. And the top right graph here shows that GTV development over the last few years in constant dollars. And more importantly, sort of this development is coupled with improving unit economics. So the below graph to the bottom right is the average store EBITDA or contribution margin 3, as they call it. And here from sort of an average 3% profitability level, it's increased by just being more efficient on costs and operational efficiencies to 10%. Breadfast also raised an additional $10 million during the summer from EBRD as part of their larger Series B2 funding round that kicked off earlier this year. And then also interesting and very exciting development is that they in early October, launched their fintech offering more broadly with the Breadfast Card, which is a sort of prepaid debit card, which will allow their users to use sort of the Breadfast platform also outside Breadfast's core offering. We're super excited about the company, and they continue to sort of go from a clearer to clearer path, coupled also with a more stable macro now in Egypt. So very exciting. Over the quarter, we valued this on the basis of this recent transaction at $30 million. With that, I thought I'll hand back to you, Per.
Per Brilioth: Yes. I think that sort of concludes what we'd sort of talk about. And then we can move to Q&A. And Bjorn, do you want to remind people again how that sort of works?
Björn von Sivers: Yes, sure. And also, as I said in the beginning, easiest is to use the Q&A function here in Zoom. I will try to go through the questions one by one. And I'll start with one here. Are there any of your current portfolio companies where there are upcoming funding rounds that you would consider it attractive to participate in and to increase your exposure?
Per Brilioth: Well, in the larger ones here, there are no funding rounds really sort of planned right now. So that's really not that relevant. But in the smaller ones, there will be the odd one, but that we think -- that where we would participate, but those check sizes are really, really quite limited. So for the size that sort of matters, it's not really sort of on the table. So it leaves us with the cash liquidity to sort of buy back stock instead.
Björn von Sivers: Good. And sort of a follow-up here, so that -- given that you're now in a positive net cash position, would you say that you're still focused on divestments and exits? Or will that activity sort of slow down going forward to more investing?
Per Brilioth: Yes. I -- I mean, there are some things in the portfolio where -- which might lead to sort of more exits, but it's not really driven by us. It's more if a company sort of gets taken out like Tise, for example. I mean we were not sort of -- Tise marketplace growing very well, a good company and everything, but eBay came in and bought the whole company at -- well, way above our mark. So in terms of where in relation to the market, it's all good, and then they may still do a very good deal out of that. But -- and there's some stuff like that still going on in the portfolio here and there. But it's not that we are sort of actively sort of pushing anything out. I mean we -- the big exits that we've done that completed this transformation from being in debt to now being a net cash was essentially Gett and Booksy. And we still think that the -- those 2 sort of exits were done at decent sort of return profiles for us and decent marks. So not -- and also done in proximity to -- both of them were done around NAV. So yes, but -- anyway, sorry, the short answer is that there's no -- nothing sort of -- there's no exit that we're going to announce on Monday.
Björn von Sivers: And then there's a few questions here on BlaBla and the first one. So do you have any sort of time line on the monetization in the newer markets such as Brazil and India, which has been in the media as of late?
Per Brilioth: No. I mean the monetization, I mean, first out of Brazil is sort of starting now, but it's -- but as we remember also from monetizing sort of other marketplaces in emerging markets, it sort of starts small and then it increases over time. And then one can also sort of monetize this route and not that route and this region and not that region, all depending on where liquidity is at a level which -- where it becomes sort of conducive and good to monetize. So if I -- if you sort of ask me for a time line when those markets are fully monetized, sort of fully monetized as sort of maybe carpooling in France, which we're looking at like a take rate of 30% in some -- on some -- yes, 25% to 30%, then you're looking at definitely -- I mean that's probably like 4, 5 years out. In the meantime, the emerging market sort of GMV, which is today, call it, $0.25 billion will be much, much higher. And if monetization starts today -- I mean monetization can still start much earlier than that. But when you reach sort of take rates that are similar to France, it will take a few years. But we will -- as we go over 2026, when we talk again quarter-by-quarter, well, Q4 '25 and then into '26, I would endeavor to say that you'll have much more sort of visibility on how this has started, et cetera. So yes, we -- emerging markets, we have a lot of experience in emerging markets and see that the marketplaces in emerging markets can be monetized in ways that is very similar to developed markets. That's certainly the case for classifieds, and now BlaBlaCar is sort of a frontier product. We only see how excellence in monetization looks like in France and that market is, of course, solely sort of operated by BlaBlaCar. And so there's no sort of listed peer to point at. But if you're within the company, you see that this has a fantastic potential to monetize very well. And we feel that and know from experience that one should be no sort of stranger to monetizing emerging markets in similar sort of fashions to developed markets. We -- and within the portfolio, we have one country that is monetized and that is generating very large revenues and earnings for BlaBlaCar and that's Turkey. So Obilet in Turkey is -- that's probably like a $400 million, $500 million value if you'd sell that company today. Will Brazil and India be $500 million? I mean there will be much, much more if you give it a few years. So huge potential there. Sorry, I'm rambling on way off the question. Let's talk about another question.
Björn von Sivers: Yes. And those were -- sort of a final question that we received from a few participants here on BlaBla as well is if we could provide some additional color on the sort of markdown over the quarter of 8%. What's the primary driver behind that valuation change?
Per Brilioth: It's a mix of Airbnb type of companies being down. I think Airbnb is a big -- it's a very natural sort of peer to look at sharing economy, travel. So for those of you who follow that market closely, you'll see that, that's sort of not been -- I mean, that's down over the quarter, this last quarter. And the other one is still sort of adjusting the company, especially in Europe to a little -- we're in an adjustment period basically to where we see sort of growth and look like in Europe. So it varies a little bit from quarter-to-quarter that outlook. But once those adjustments are down, then we really see sort of the potential for pickup in sort of growth and activity. We expect the company to show a strong EBITDA this year. We expect that EBITDA to grow significantly to next year and to grow significantly the year after that. So that kind of growth will work itself out -- will work itself sort of into the way this company is valued as well, I'm sure.
Björn von Sivers: Good. And then sort of another portfolio-related question here on Voi. Is there anything additional color you can provide around sort of a potential IPO or when Voi becomes ready to sort of go to public markets or similar?
Per Brilioth: Sure, sure. Yes. No, Voi is sort of internally ready for an IPO, has been for quite a while. It's really run like as a public company. And of course, you can even say that it is -- I mean, it is a public company today since their bonds are listed, and they produce sort of quarterly accounts to the requirements of the stock exchange here in Sweden. So they are ready to list their equity, but they don't have to list their equity. They're funding themselves well in the debt market. They're -- it's turned EBIT positive. So they -- I think it's fair to assume that Voi will list itself if it makes a lot of sense for them funding-wise. And the way I see it is that what we have ahead of us is supposedly an IPO of their biggest competitor, Lime. Now Lime has -- there's been talk about IPO-ing Lime on Monday for the past 10 years -- no, 2 years or so, 18 months maybe. But -- so there's been a lot of talk, but it's never happened. From what we understand, Paris is a big market also for them, and the sort of renewal or loss of their license in Paris, which worked out to be a renewal, I think would have been an important thing to sort of have behind you if you wanted to go to public markets. So now that that's done, and there's still -- I mean, it's basically Voi and Lime and one more in Paris. But it's -- you can see across Europe, it's basically Voi fighting Lime and the other way around. So with that behind you, I mean, there's now much more noise about an IPO of Lime. And if IPO Lime and -- if Lime IPOs, sorry, and that becomes a successful IPO giving them access to a certain cost of capital, it's sort of fair to assume that the part of the industry that is ready to IPO will also IPO to sort of get the same cost of capital. So a successful IPO of Lime could be something that accelerates an IPO of Voi. That's just me. We own 20% of the company. There's lots of other voices around that. But I think that's the way to look at it. And -- but Voi doesn't have to IPO. It controls its own destiny, it can fund itself in the bond market and the private equity markets. So we'll just -- we'll look out and see if Lime IPOs and how that IPO goes. That will be interesting.
Björn von Sivers: And then we have another question here on buybacks. Now with a bit more liquidity on our hands, how do you see buybacks going forward?
Per Brilioth: I think you should assume that we will do buybacks like we've done in the past. I mean we bought back, and we distributed like $700 million -- is $750 million over the past 10 or so years, mainly through buybacks. And if you've sort of seen how we've done it over the years, we haven't chased the stock. We've bought on down days and picked up here and there. We're not doing this to sort of set the price of the stock. We're just using the opportunity that the market is giving us where we can sort of buy this portfolio, which we love and where we think there's a significant return profile at very reasonable risk. And from the NAV level, if you could buy that at a 40% or so discount, it's just hard to resist as an investment opportunity. So yes, Gett cash coming in, us moving to net cash, sort of restarted a buyback sort of period. We bought back about 1 million going into the blackout of this report, and we'll get going again now. So -- but there's nothing that we've communicated, and there's nothing -- we're not going to -- it's not as if we're going to buy back x amount of dollars or x amount of shares until Monday or next year or something. We'll just be very optimistic about it. But right now, there's nothing sort of material that we can do better than to buy back our own stock.
Björn von Sivers: And then I think sort of we touched upon essentially all questions, but one final here. And that is sort of if you can pick 1 or 2 of your smaller holdings today that you think have the potential to become a new Voi or Avito in the portfolio and a meaningful contributor, which would you highlight?
Per Brilioth: Well, I mean, if that sort of excludes the ones that show up on a pie graph like this because -- I mean, it's difficult to choose amongst your children. I mean I actually think BlaBlaCar has a fantastic potential. I know we're sort of -- it's been a tough few years with all these sort of environmentally sort of related revenues getting out of their mix and et cetera, et cetera. But if you exclude those, I mean, we have a few companies in this other part of the portfolio. And one that stands out is actually -- and we talked about it before. I think they've been part of our CMDs in the past, but you should look at Alva, which is one of the -- which is like an HR tech company here, and they're based in Sweden. It's run by some Avito alumni and some others. And so management is just excellent. We think they are very, very capable. They're sort of very, very focused on their product here, which is sort of basically LinkedIn 2.0, a CV is a crude way to sort of find the best employee and then for the best employee to find the job. They have a new way of doing that, which we think has got a lot of potential. So that we want to pick up on. And we'll also make a note to make sure that they may be present at the next CMD. We actually thought that we'd sort of not -- in these sort of quarterly reports, not only have you listened to us 3, but that we'd also maybe make some room for people like Alva, for example, to sort of talk about shortly in condensed way what they do and what's important for the next 12 months, et cetera, et cetera. I think -- yes, I think that will be interesting. Anyway, I'll pick Alva amongst all the children, but -- yes.
Björn von Sivers: Great. Thank you. I think we've sort of touched upon all questions. If we missed one, please reach out offline, you know where to find us. Any final remarks, Per?
Per Brilioth: No. Thank you, everyone, Bjorn, Dennis and everyone listening in. And we'll see you around. Yes.
Björn von Sivers: Thank you.
Dennis Mohammad: Thank you.